Operator: Ladies and gentlemen, thank you for standing by, and welcome to the REX American Resources Third Quarter Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards we will conduct the question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Doug Bruggeman, Chief Financial Officer. Please go ahead.
Doug Bruggeman: Good morning and thank you for joining REX American Resources’ fiscal 2014 third quarter conference call. We'll get to our presentation and comments momentarily, as well as your question-and-answer session. But first I'll review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements that involve risk and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the company's current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and in the company's filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. Now moving on to our third quarter financial results. REX again outperformed the industry and reported record third quarter net income of $23.3 million and recorded record earnings per share of $2.86. We believe some of the factors that contributed to our ability to outperform are our plant locations and ability to source corn on average below CBOT pricing, our continued ability to get railcars. We have not sold out all of our ethanol in the future markets and can take advantage of more favorable spot or index pricing. And our plans continue – excuse me, continue to operate efficiently as they are all Fagen constructed ICM technology which we consider to be the gold standard for the industry. For the quarter, our sales declined from $166.2 million to $138.5 million reflecting lower ethanol and dry distiller grain pricing. However, gross profit for the quarter doubled from $18 million to $36.5 million, as lower sales prices were more than offset by lower input corn cost. Our crush spread for the quarter was $0.59 versus $0.02 last year’s third quarter. When I refer to the crush spread, I am speaking only the price of a bushel of corn divided by 2.8 versus the price of a gallon of ethanol. The reduced DDG pricing did serve as a headwind to our gross profit. Contribution from our non-consolidated plants was $8.8 million for the third quarter versus $3.3 million for last year. The above items contributed to net income of $23.3 million for this year’s third quarter versus $9.9 million for last year and we resolved in record earnings per share of 2.86 versus a $1.21. Our trailing 12 months EPS is now over $10 a share. During the third quarter, we allocated cash of $8.3 million to purchase 121,000 shares of our common stock and ended the quarter with $164.3 million in consolidated cash and consolidated bank debt of $33.5 million. Subsequent to quarter end, we paid off the remaining bank debt and continued purchasing our shares for an additional 58,000 shares for $3.9 million. We also announced today an authorization for the purchase of an additional 500,000 shares bringing total authorization to 601,096 shares with shares outstanding today of approximately 8,003,000. I'd now like to turn the call over to Stuart Rose for his commentary on the industry and current trends.
Stuart Rose: Thank you, Doug. First of all I'd like to talk about ethanol and its importance to our country and we get talked in a negative way to often and our industry tends to not fight back like it should though ethanol has great benefits to our country, cars burn cleaner, where we see no government subsidies. We pay a huge amount in taxes. Our farmers are paying more taxes, due to ethanol and due to the fact that they have a place to sell their crops to and consequently producing more crops where - there is no bad economics in the farm belt during the last recession. Again, thanks, we think in part to ethanol. Our balance of trade has improved – improves, because of ethanol; we import significantly less oil, because of ethanol, we are now sending money - as much money overseas to people who are sometimes aren’t friendly to the United States and in some cases the oil money is used even to fight the United States. Today there is an oversupply of corn. After the last crop there is plenty of corn in the market and again ethanol helps to drive that corn up and keep the farmers making money instead of relying on government subsidies. In terms of REX going forward, quarter is currently running at a rate that puts us slightly ahead of last year. Our comparable quarter last year was $1.95. We have no long-term hedges out there; everything is either spot or index pricing. At this point in time, our corn pricing is below basis, natural gas prices seem to be steady at this point in time. We have no interest expense since – from December on after paying off our debt. We have less shares outstanding due to a buyback and no news from the EPA. It appears to be good news as spot prices have remained very, very strong in our industry. The biggest risk in the industry and these are not new risks, but they are definitely out there. There is deep contango in the industry. No hedging is really possible at this point in time. The futures market is much lower than the current market, most people in the industry I imagine are on index or spot pricing because you cannot do – there is no real market to hedge if you look at the futures market. Also the lower price of wholesale gasoline is making E85 less attractive relative to the price of gasoline. The same problem with exports, export, our pricing is – it’s tougher to sell export when wholesale gasoline has collapsed like it has in the last few months. The other thing that’s out there and it’s always out there, is there has been no ruling from the EPA and there is always a chance to tell they have a negative ruling or a negative legislative surprises. But again, none of that has taken place, everything just getting – currently keeps getting delayed, delayed. In terms of our company and its ability to generate cash, we keep doing it at a remarkable level. At quarter’s end we had 164 – over $164 million in cash, since quarter’s end as Doug mentioned we used about $33.5 million to pay down debt. Total debt pay down for the year was $75 million. We spent 8 – approximately $8 million in the quarter purchasing shares and another $4 million since – approximately $3.9 million since the end of the quarter buying shares. We're authorized to buy now a little bit more than 600,000 more shares. We do this on [divs] [ph] and [divs] [ph] are pretty much determined by the management committee and we have a very, very successful record of buying shares and using that as our way of returning money to shareholders. We're gradually trying to increase production through our plants through efficiencies. We hope to keep doing that and we managed to do that, most of these plants have 100 million – gallon nameplates and we're doing significantly better than that right now. We have almost completed our capital improvements for this year in the plants we've been – and that is basically increasing our storage of ethanol and corn storage, corn storage silos in the facilities. We continue to look for ethanol plants. We prefer to buy. We prefer Fagen/ICM 100 million gallon nameplate plants. There is no luck out there. Everyone else is doing as well as we are. I should say as well as we are, but the other plants of this type are doing very, very well and there is no one that we know off that would like to sell at a price that would be lower or accretive to our shareholders based on what we can get by buying in shares. And so that’s the route we've chosen and that accomplishes the same thing and we've made – we're very comfortable increasing the number of shares to our buyback and doing that instead of buying new plants. And like I said, if we can get that a lot cheaper than buying an existing plant that’s one of the things that we have to really look at. We do continue to explore building new plants. That’s difficulty, there as new standards, but we're the only company I know that – only public company I know that’s working on trying to look at building new plants. The margins is such that in this industry if they continue like they have over the past 12 months that would be very – we feel we'd be not doing what's right by our shareholders if we at least didn’t explored this effort. The problem today with our stock price where it is, it would be more expensive on a per gallon basis to build a new plant versus buying in shares. But again share prices change and we'll see what happens on that. So we have a small investment in steaming technology, 60% of the steaming technology to steam heavy oil. We hope to open a pilot plant next year. It has – if it all worked out, it has a potential to reach a lot of deep billions of barrels or deep heavy oil the country knows is out there, but it’s unreachable or unrecoverable. But we look at this as a wild card. It’s probably best with the price of oil today that we're at – that we're only in the stage of development. It has great possibilities, but we don’t encourage people to buy the stock based on it. We at this time are, like I said in the pilot plan stage and do not know how the technology will react. We'll find that hopefully in the next year. In conclusion, we've just completed our best quarters in earnings per share. The crush margins were good during the quarter and they continue to be good. If things continue like they have up through now, we will beat last quarters, last fourth quarter. As danger is lurking we can't hedge. So we're totally at – we're totally spot. Oil price is around three fold, that the dangers with that I've mentioned previously in the call. So we'll see what happens. In terms of the industry, we continue like I said to outperform the industry. Our plants are in the best locations, are great locations and their Fagen/ICM plants in the farm belt. So no matter what the industry does, it’s our expectation that we'll continue to outperform the industry. The best advantage that we have and the one that’s the most important though is our people, people during good times, bad times have always been amazing and they are real reason, the real secret of our success. And that’s really why REX does what it does and keeps putting up the numbers that we're doing. I just want to take a minute, a second to thank them and they are the reason why at REX we believe we'll continue to do well and today it’s a very interesting and turbulent industry. I'll now leave the call open to questions.
Operator: [Operator Instructions] And we now have a question from the line of Katja Jancic with Sidoti & Company. Please go ahead.
Katja Jancic: Hi. Thank you for taking my call.
Stuart Rose: Hi, Katja. How are you?
Katja Jancic: I am good. How are you?
Stuart Rose: Good, good.
Katja Jancic: Stuart, you mentioned you expect based on the current situation, you expect the last quarter to be slightly better than last year, is that correct?
Stuart Rose: So far this year we are tracking, so far this quarter that’s way we're tracking, correct.
Katja Jancic: What's the situation with dry distiller grains? Do you see any uptick, or could you talk a little bit about that?
Stuart Rose: Well, the corn is up ticked a little bit and so the dry distiller grain market is up ticked; exports are still a problem, China is still been difficult. But generally we look at dry distiller grains as being about 30 to – roughly 30% of the cost of corns. So we get back about 30%. For people who don’t know dry distiller grains is left over product after the ethanol is made with the corn. It’s a very, very high protein corn and we resell that into the feed market. And roughly 30% of our cost comes back. So as the price of corn comes down we'll get less money for dry distiller grain, generally as it goes up we'll get more money and it has – price of corn has gone up a little bit.
Katja Jancic: But you did mention – yes, sorry
Doug Bruggeman: If I just can add on to that, if I can add on, I would expect the fourth quarter DDG pricing to be lower than our average was for the third quarter. The third quarter we benefited little bit having sold out some of our DDGs prior to the pricing coming down. So again my expectation would be on average it would be lower than fourth quarter that what was reported in the third quarter.
Katja Jancic: Okay. And you did mention that you're buying corn below basis. Can you talk a little bit about how much below or percentage wise could you give us a little more clarity on that?
Stuart Rose: We don’t like to disclose exactly, but it’s public knowledge what the feedlots right to next to us are selling corn for. And so it’s something that can be looked up pretty easily. And they publish prices, so you can get a pretty good idea of how much it is below. But we like to keep exactly what we're paying pretty much. We don’t – don’t want to disclose it on the conference call.
Katja Jancic: Okay. In the third quarter your tax rate was lower than historically, what's the situation with that and just going forward how could we look at that?
Doug Bruggeman: Yes, we had some true-ups that we booked here in the third quarter as we're doing our tax to provision to return true-up, so we booked that in the third quarter. On a year-to-date basis our tax rate was about 37.5%, I think anywhere from 37.5% to 38.5% is a probably pretty much normalized rate.
Katja Jancic: Just one more question, and then I'll go back in the line. Regarding the new plant, how far you – what have you done, is there – have you submitted any application to the EPA, what's the situation with that?
Stuart Rose: We are working with the builder and we're working. He is – him and I, we have done some work, but we have not submitted our full application to the EPA or disclosed where the plant is yet. But we have a site and we are working with the builder. Again, we want to make sure if we submit something that it would be approved and even it’s approved the Board will still have to make a start, go or no go decision and a lot of that will depend on what we can do with our cash, where the industry is, that type of thing. But, like I said earlier in the call, this industry has been a very, very profitable industry for REX and we know what we're doing when it comes to opening new plants. So – and I should say if we do open a new plant it will be state-of-the-art, be better than anything else that we have currently, by definition it will be better just because it’s a – the technology has moved on and it has to move on to meet EPA standards. So we'll see what happens. It’s interesting but – and we're working on it, but there is – and we're working fairly, not fairly hard, we're working hard on it. But we'll see what happens.
Katja Jancic: Okay. Thank you so much.
Stuart Rose: Thanks, Katja.
Operator: Okay. And our next question is from the line of Jeremy Hellman with Singular Research. Please go ahead.
Jeremy Hellman: Hi. Good morning, everybody.
Stuart Rose: Hi, Jeremy.
Jeremy Hellman: I just wanted to talk more high level about what – and this is more, I guess more of a opinion question for you. But you know with the Republican Congress and both houses coming in, everything I have read related to the EPA it sounds like there may be some de-funding, is going to be the most likely path and you know, and this is all what you read, so taking with some grain of salt. But do you think that there – that’s going to be splitting hairs and related to ethanol Republican legislators from ethanol states are going to have a loud enough voice that any de-funding will be more focused on things like carbon and leaving ethanol alone or just kind of curious for your general…
Stuart Rose: I've never looked at de-funding as a risk because the legislature is out there. So the worse, [Inaudible] if they de-funded the EPA completely they’d have to – the EPA right now is only as far as I know talking about decreasing the mandate, the number of RINs that are required. So, if there was – if the EPA, that division was de-funded, which I don’t think it will be, then it will just go to – then it will just go the legislation which was very positive for the industry, [Inaudible] to grow every year. So I don’t look at de-funding as an issue. As far as legislative, that’s – it’s not a Democrat, Republican issue, it’s a farm belt, oil belt issue. We are doing a great job of domestically taking market share from the oil companies and that’s what we were made to do. The programs are working perfectly. We've taken large amounts of market share while helping our farmers and the oil companies have noticed us and blame us in part for their fall in prices. But we are proud of that. We're proud of our industry. But we'll always have to fight oil producing states and oil producing state representatives and rightly so they are trying to protect their oil industry just like our farm legislature – legislators try to protect our ethanol industry.
Jeremy Hellman: Okay. And then shifting gears to the new build question or you know analysis that you're going through. Has land acquisition been part of your discussion with respect to your cash, now you've cleaned out your debt, you're going to have pretty much maximum flexibility…
Stuart Rose: The way we will do it is through options.
Jeremy Hellman: Okay. Okay. That’s it from me. Thanks.
Stuart Rose: Sure, Jeremy.
Stuart Rose: Any other questions? Hello? Hello?
Jeremy Hellman: I was done, if the operator was waiting for me to state that more clearly.
Stuart Rose: Okay. Operator, is there any other questions? I think there is no more questions. So, Doug are you on the line also?
Doug Bruggeman: Yes, I am here.